Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the EnPro Industries' 2017 Fourth Quarter and Year-End Results. [Operator Instructions] I would now like to turn the call over to Mr. Chris O'Neal, Senior Vice President of Strategy, Corporate Development and Investor Relations. Please go ahead.
Chris O'Neal: Thank you, Michelle. Good morning, everyone, and welcome to EnPro Industries' quarterly earnings conference call. I'll remind you that our call is also being webcast at enproindustries.com where you can find the slides that accompany the call. Stephen Macadam, our President and CEO; Marvin Riley, our Executive Vice President and COO; and Milt Childress, our Senior Vice President and CFO, will begin their review of our fourth quarter performance and our outlook in a moment. But before we begin our discussion, I will point out that you may hear statements during the course of this call that express belief, expectation or intentions, as well as those that are not historical facts. These statements are forward-looking and involve a number of risks and uncertainties that may cause actual events and results to differ materially from such forward-looking statements. These risks and uncertainties are referenced in the Safe Harbor statement included in our press release and are described in more detail, along with other risks and uncertainties, in our filings with the SEC, including our Form 10-K for the year ended December 31, 2016, and our Form 10-Q for the period ended September 30, 2017. We do not undertake to update any forward-looking statements made on this conference call to reflect any change in management's expectations or any change in assumptions or circumstances on which such statements are based. Our earnings release and conference call presentation materials contain additional disclosures regarding the following; first, non-GAAP financial information; second, collective references to EnPro and our subsidiaries; third, the deconsolidation of Garlock Sealing Technologies, or GST, and OldCo LLC or OldCo during the relevant periods until their reconsolidations effective as of July 31, 2017. And finally, pro forma illustrative financial information presented as of GST and OldCo, were reconsolidated for financial reporting purposes throughout 2017 and 2016 and the fourth quarter of 2016. These disclosures are important to understanding comments we will make on today's call, and we urge you to read them carefully. Consolidated results for the periods after July 31, 2017 reflect the reconsolidation of GST, its subsidiaries and OldCo as a result of the completion of the Asbestos Claims Resolution Process. Given that the fourth quarter of 2017 was the first full quarter in which consolidated results reflected all of EnPro's entities, we believe that investors will find comparisons of consolidated results for the fourth quarter of 2017 to pro forma results for the prior-year period to be the most illustrative of the year-over-year performance of all of EnPro's businesses. Pro forma results for the fiscal years ended December 31, 2017 and December 31, 2016 reflect the performance of all of these businesses for these periods. And now, I will turn the call over to Steve.
Stephen Macadam: Thanks Chris. Good morning, everyone, thanks for joining us today. I would like to start my comments today with a high level summary of the status of EnPro. We've had a number of developments that are very exciting and that bode well for our company in 2018 and beyond. First, we are experiencing very healthy demand in nearly all of our markets. This momentum is driving growth in our sales and EBITDA across all of our segments. Second, we have a robust pipeline of product innovation projects in each of our segments. These new product commercialization's are beginning to contribute to our results and that will continue to bolster our growth over time. The most notable of these programs is Trident OP engine that we're developing in Power Systems. We received great customer feedback and interest when we officially launched the Trident OP at the POWER-GEN conference in December. The engine's industry-leading fuel efficiency will save customer significant cost of fuel. Third, the fourth quarter was the first full quarter in our consolidated results in which our consolidated results represent all of the entities that we add-on. As you are likely aware, over the past seven years we were forced to deal with persistent confusion related to the complexity of our financial reporting due to our deconsolidated businesses as part of the ACRP process. Being able to report all our entities in our consolidated results is a significant milestone in resolving any lingering market confusion about the true financial performance of total EnPro. We also completed the funding of the asbestos trust in the fourth quarter and aside from a small contingent true-up payment that may be due in the third quarter of this year will completely free our future asbestos-related liability. Finally, in the last two years as we previously announced we won a number of large Navy and Coast Guard engine programs. We're now through the softness in the U.S. government demand in the 2015 through 2017 period and we have a nice robust backlog of engine and related aftermarket sales. In 2018 we're starting production in many of these programs. I feel great about the state of our company, so many of the efforts that we've undertaken at the past five and even 10 years are starting to bear fruit and the future of EnPro has never been brighter. Now let's move on to a review of our fourth quarter and full-year results. We had a strong finish to the year with year-over-year sales growth in each of our segments. Excluding year-over-year differences in foreign exchange translation and acquisitions and divestitures, consolidated sales were up 11% in the fourth quarter over pro forma sales in the prior-year. Excluding those same items for the full-year, our pro forma sales were up a little over 4% compared to 2016. Consolidated EBITDA was $48.6 million in the fourth quarter up approximately 20% compared to pro forma results from the same period. In the prior year primarily due to volume increases across all segments, the positive impact of restructuring activities that occurred in 2016 and early 2017, and the favorable year-over-year impact of currency on the EDF contract. For the full pro forma adjusted EBITDA was $214.5 million finishing the year above the high-end of guidance that we provided in our third quarter earnings conference call even when adjusting for the benefits of currency that we had in the fourth quarter. In the fourth quarter, we continued to experience favorable conditions in many of our core markets. Demand was strong compared to the prior year in semiconductor, aerospace, automotive, food and pharma, metals and mining, general industrial, heavy-duty tractor trailer builds, nuclear and oil and gas. This positive momentum was partially offset by significant year-over-year decline in the industrial gas turbine market. Power Systems experienced increased sales versus the fourth quarter of 2016 driven by higher engine and aftermarket parts sales. As you can see on the right hand column of Slide 5, we generally expect these conditions to continue in the early part of 2018. Before I turn the call over to Marvin to provide an update on Power Systems and our commercial and innovation efforts across the company, I want to discuss some positive developments from the fourth quarter including the asbestos-related trust funding and an update on our addressable market growth strategy. As you know, we permanently closed the asbestos chapter in our company in the third quarter of last year with the consummation of the joint plan of reorganization. At that time our only remaining funding obligations under the terms of the plan were $80 million total deferred payments to be made on or before July 31, 2018. We negotiated a prepayment of $78.8 million that we made in the fourth quarter to fully satisfy our obligations of the joint plan, aside from a small contingent true-up payment that may be due in August. We were estimating that payment at $600,000 as this will complete our total obligation for trust funding. We remain committed to creating shareholder value through profitably growing our company. Our legacy business has exceptionally strong positions in relatively mature and profitable market niches. We've been working hard to edge out of these markets to expand our addressable market in ways that create value. We do this through innovation, product development which Marvin will discuss shortly, also organically expanding our geographic reach, and through disciplined strategic acquisitions. It is this approach that has grown STEMCO from approximately $100 million to nearly $400 million in the past seven years. In 2017 we completed two strategic acquisitions both of which were in our Sealing Products segment. The first was the Technetics Group acquisition of Qualiseal in the second quarter. As you may remember, Qualiseal manufactures highly engineered mechanical seals for the aerospace market. The acquisition added a complementary product suite that greatly enhanced our presence in the aerospace market. Since closing, the team has been focused on integrating the operations of the business and augmenting the existing management and commercial team to better position the business for future growth. We're pleased with the early commercial successes including ramping volumes on several next-generation engine platforms, and we're expecting continued growth in 2018. The second was STEMCO's acquisition at the end of October of commercial vehicle components or CVC. With a modest $5 million investment, this acquisition provides STEMCO a premium portfolio of air disc brake pads designed to exceed OE performance specifications. STEMCO will leverage its industry leading commercial approach with CVCs differentiated break pad portfolio to greatly enhance its presence in the growing air disc brake category. Initial post close integration was completed without any issues and our team is focused on accelerating our pipeline of opportunities with customers. Given the strong performance trend in Engineered Products through extensive facility, consolidation, organizational restructuring, and disciplined process improvement, we're also able to look towards growth in this segment like we have been driving in Sealing Products. We are investing more in innovation and also actively looking at some exciting inorganic opportunities in that segment particularly those that would be a strong strategic fit with GGB. Marvin will also discuss our progress in the Power Systems reentry into the commercial power market. This effort is well underway and we're beginning to see real success. Now I’ll turn the call over to Marvin.
Marvin Riley: Thanks Steve, and good morning, everyone. I'd like to start by sharing two brief updates in the Power Systems segment. The first is an exciting contract win with a major pharmaceutical company in Puerto Rico. This commercial power contract is our first win under the MAN agreement that we singed to distribute MAN's engines to the power generation market in the United States and its territories. Fairbanks Morse will provide a combined heat and power solution based on two duel fuel reciprocating engines. Such a solution maximizes fuel efficiency by using the engines waste heat for production processes that require thermal energy. The first of these engines has arrived in Puerto Rico with installation to commence in the coming weeks. The second is scheduled to ship during the second quarter and should be installed by the end of the third quarter. The contract with the customer also provides for a 10-year parts and service agreement related to these engines. This is an exciting development for the Power Systems segment and we look forward to additional success with the MAM agreement in the power generation market. I would also like to provide an update on our Trident OP program which as you likely recall from prior discussions is their next generation opposed-piston engine that provides industry-leading fuel efficiency. During the fourth quarter we made significant progress on fine-tuning the engine and will perform final fuel calibrations and endurance testing over the next several months. On the commercial front, we officially launched the new Trident product at the industry-wide POWER-GEN conference in December. The industry interests and receptivity to the engine performance specifications was extremely positive. We're currently quoting a variety of potential customers with applications that are ideal for our engine. During the past few quarters, we've highlighted some of our ongoing innovation in commercial efforts to drive growth across our segments. I want to briefly highlight two initiatives from the quarter that exemplify our efforts. The first is a great example of our innovation efforts in the Engineered Products segment. CPI which manufactures precision engineered compressor components and lubrication system demonstrated its new [Pro Flow EOS] self adjusting lubrication pump at the gas machinery research Council Show in October. The patent protected [Pro Flow EOS] constantly monitors and adjust the quantity of oil cycling to the compressor ensuring optimal compressor lubrication. CPI's new solution was well received at the GMRC Show resulting in multiple large customers field testing the product in their system. CPI has secured initial production orders from some of these customers. Another example is in the Sealing Products segment. STEMCO which manufactures and supplies high-quality components and solution to the heavy and medium duty truck and trailer markets was awarded standard position by Wabash National Corporation to supply Guardian HP Wheel Seals and STEMCO Hub Caps for its dry and refrigerated van trailers. This means the full range of STEMCO products will be specified into the trailer. These products are technologically advanced and offer a higher standard of performance through easier installation and longer life. We're excited to offer these products to Wabash which is the leading producer of semi trailers and liquid transportation systems in North America, serving some of the largest U.S. fleets. Being awarded standard position further strengthens our long list partnership with Wabash and reinforces STEMCO's position as a market leader in wheel and product technology. These are just two examples from our enhanced focus on new product development and commercial capabilities across EnPro. And now I'll turn the call over to Milt.
Milton Childress: Thanks Marvin. Before I begin, I want to note that our consolidated results for the fourth quarter reflect the reconsolidation of GST, its subsidiaries and OldCo as a result of the completion of the asbestos claims resolution process on July 31 of last year. As both Chris and Steve has mentioned, the fourth quarter of 2017 was the first full quarter in which consolidated results reflect all of EnPro's entities. In order to find the most meaningful information about the fourth quarter, I will make comparisons of consolidated results for the fourth quarter of 2017 to pro forma results for the fourth quarter of 2016. For the full year I'll be comparing pro forma results for both 2016 and 2017. As discussed on previous earnings calls, the pro forma segment results that I will discuss has been prepared as if GST and OldCo has been reconsolidated on the basis described in our earnings release. As a reminder, most of the difference between consolidated and pro forma segment information is in Sealing Products with only small differences in Engineered Products and Power Systems stemming from foreign operations of those segments included in GST foreign subsidiaries. Our fourth quarter sales of $362.5 million were up 13.4% over the fourth quarter of 2016. As Steve noted, excluding the impact of foreign exchange translation and acquisitions and divestitures, sales were up 11.1% over the prior year, up 5.6% in Sealing Products, up 11.4% in Engineered Products, and up 32.4% in Power Systems. Gross profit margin for the fourth quarter was 34%, up 85 basis points compared to the fourth quarter of 2016. Adjusted earnings per share for the quarter of $0.67 was up 31.4% compared to the fourth quarter of 2016. Adjusted earnings per share adjust for items such as environmental reserve charges, restructuring costs and payment charges, acquisition expenses and normalized tax rates. All as shown in the tables attach to our earnings release. The fourth quarter year-over-year improvement is a result of the $12.1 million year-over-year increase in segment adjusted EBITDA as I will cover shortly in review of segment results. Offset by $4.1 million increase in corporate and other cost due in large part to higher incentive compensation expense, the $2.4 million increase in net interest expense and $1.8 million increase in adjusted income tax expense. Average diluted shares were 21.8 million of fourth quarter of 2017 compared to 21.7 million for the same period a year ago. For the full-year adjusted earnings per share were $3.45, up 25.4% compared to the prior year. Before moving to the review of Q4 segment results, I want to highlight the estimated $24 million benefit incorporated in our fourth quarter tax provision in connection with the Tax Cuts and Jobs Act. This amount represents the net impact of the remeasurement of deferred tax assets and liabilities, the estimated total charge on deemed repatriation of earnings and the estimated benefit of tax planning strategies in response to tax reforms. Please note that the $24 million is subject to change as additional clarification on the Tax Act is provided and as we refine our estimates. Also please note that this provisional tax benefit does not affect our adjusted earnings reported previously. Going forward with the reduction in the U.S. federal rate from 35% to 21%, our adjusted earnings will be determined using an estimated 27% blended global statutory rate in comparison to 32.5% rate used historically. In the Sealing Products segment, sales were $220 million in the fourth quarter up 7.5% over the prior year. Excluding the impact of the Qualiseal acquisition, the Franken Plastik divestiture closed in December 2016 and foreign exchange translation, sales were up 5.6% in the fourth quarter versus the prior-year period. This year-over-year sales increase was due to the strength in semiconductor, aerospace, food and pharma, heavy-duty tractor and trailer builds, metals and mining, nuclear and general industrial, while sales to the industrial gas turbine market were down significantly. Segment adjusted EBITDA which excludes the impact of restructuring and acquisition expenses was $39.7 million up 9.4% over the fourth quarter of 2016. For the full-year, adjusted EBITDA margins were 18.8% up from 18.4% in 2016. Excluding the impact of acquisitions, divestitures and foreign exchange translation, adjusted EBITDA increased 5.6% in the fourth quarter versus the prior year. Excluding the impact of acquisitions, divestitures, restructuring costs and charges related to the reconsolidation, segment SG&A cost in the fourth quarter were $50.9 million compared to $48.6 million in the prior year. The year-over-year increase was driven by higher incentive compensation expense. In the Engineered Products segment, sales were $74.8 million in the fourth quarter up 17.1% over the prior year period. Excluding the impact of foreign exchange translation, fourth quarter sales were up 11.4% over the fourth quarter of 2016. This year-over-year sales increase was due primarily to strength in the general industrial and automotive markets with modest improvements in oil and gas markets. Sales were relatively level in the aerospace market relative to last year. Segment adjusted EBITDA Engineered Products was $9.3 million up 14.8% over the fourth quarter of 2016 primarily due to increased volume and the continued positive impacts and cost-reduction efforts and restructuring activities that occurred throughout 2016 and early 2017. For the full year adjusted EBITDA margins were 16.1% up from 13.5% from 2016. Excluding the impact of foreign exchange translations, adjusted EBITDA increased 4.8% in the fourth quarter over the prior year period. Excluding the impact of restructuring charges, segment SG&A cost were $22 million in the fourth quarter compared to $19.9 million in the prior-year period. The year-over-year increase was driven primarily by higher incentive compensation expense. In the Power Systems segment, sales was $68.8 million in the fourth quarter up 32.8% over the fourth quarter of 2016. This year-over-year sales increase was due to higher aftermarket parts and service sales and higher engine sales largely driven by the shipment of the last zero margin MOX engine that we discussed in the past, higher EDF revenue, and increased activity on several naval programs. Segment adjusted EBITDA was $2.1 million up from $2.6 million in the prior year period. Excluding the fourth quarter impact of foreign exchange on the EDF contract in both 2016 and 2017, adjusted EBITDA increased 16% in the fourth quarter versus the prior year period. Excluding restructuring costs, segment SG&A cost in the fourth quarter were $8.6 million compared to $7.5 million in the prior-year period. The year-over-year increase was due to higher sales and marketing expenses partially associated with the Trident OP commercial launch slightly offset by lower incentive compensation expenses. I want to reiterate our commitment to maintaining a strong balance sheet and to deploying our company's capital in a disciplined and balanced way as we drive long-term growth in the value of our company. Slide 17 summarizes our major uses of capital during the fourth quarter of last year. First, we contributed $78.8 million to the ACRP related U.S.-asbestos trust which satisfies our differed funding obligations other than a contingent true-up payment estimated to be around $600,000. As Steve noted, we have no further asbestos related liability. Second, we completed the acquisition of Commercial Vehicle Components in October for a total investment of approximately $5 million. While this was a small investment that underscores our commitment to strengthening our position in the markets we serve with propitiatory technology. Third, we invested $20.8 million in our plant facilities including software which equates to about 40% of our total capital spending for the full-year. Our higher spending in the fourth quarter compared to the first three quarters of the year was driven by number of growth and efficiency improved investments across all three of our segments. Finally we paid a $0.22 per share dividend in the fourth quarter totaling $4.7 million and this morning we announced a $0.02 per share or 9.1% increase to our quarterly dividend starting in March of this year. During the fourth quarter, we did not make any share repurchases under either the prior repurchase plans that expired in the fourth-quarter, nor under the new $50 million program authorized by the Board on October 28. Through the duration of the prior share repurchase program, we repurchased a total of 898,060 shares for $47.2 million. As in previous quarters, we outlined on Slide 18 our consolidated net debt and leverage ratio at the end of the fourth quarter. As you can see, our leverage ratio at the end of the quarter was approximately 1.9 times trailing 12 month pro forma adjusted EBITDA. For those of you who have been reviewing this chart in prior calls, please note that we are limiting the asbestos-related insurance amount in this chart to the $70 million that we know will be received this year. We estimate the full benefit of the asbestos-related insurance receivables to be approximately $47 million as will be detailed in our 10-K. The leverage calculation in this table does not include the approximate $85 million tax refund related to ACRP trust funding that we expect to realize this year. Including this benefit, our leverage ratio at the end of 2017 would have been approximately 4.5 times. Before trying to call back to Steve to discuss our outlook for the year, I will provide some closing thoughts on our balance sheet and liquidity. Our cash balance at December 31 was approximately $189 million, essentially all of which resided outside the U.S. In the coming months we will be evaluating the implications of tax reform on this permanent overseas cash investment and how tax reform enhances our flexibility in the use of this cash. As discussed on previous earnings calls, we also will be taking action to realize the benefit of the loss created last year in conjunction with the ACRP related trust funding. Based on our current estimates, net of the tax reform related total charge, we anticipate receiving an estimated $85 million tax refund by the end of 2018 in connection with the falling of our 10-year loss carryback return. Beyond 2018, the carryback and deemed repatriation of foreign earnings combined generated an additional benefit of approximately $60 million in the form of reduced taxes in future periods through the use of foreign tax credits. Also in 2018 as mentioned previously, we expect to receive approximately $17 million from ACRP related insurance recoveries. These items which stem from U.S. tax reform and ACRP completion are significant but they do not change the way we think about capital deployment. They will however allow us to be more aggressive with our framework of deploying capital in a disciplined and balanced manner through investments in our operations to drive growth and efficiencies, strategic acquisitions and partnerships, and capital returns to shareholders. Currently we are pursuing a variety of growth in cost reduction initiatives across all segments including Engineered Products where our focus over the past three years has been primarily on restructuring and other cost reduction measures. We also anticipate returning a measured portion of our capital to shareholders as evidenced by the increase dividend just announced and expectations for share repurchases as the year progresses. Now, I’ll turn the call back to Steve.
Stephen Macadam: Thanks Milt. We’ll close with a discussion of current market conditions and our outlook for 2018 and then take questions. As we've always explained, we have limited visibility of future demand with the exception of new engine production in Power Systems. Most our businesses have relatively short orderly shipment cycles and typical order backlogs range from a handful of days to a couple of months. Additionally, the component nature of many of our products [indiscernible] correlations with macro end market indicators. Notwithstanding this limited visibility, demand in most of our markets remains healthy with the exception of the industrial gas turbine market which we expect to remain depressed. We are optimistic that we can continue with strong performance throughout 2018. As usual, our guidance excludes impacts from future acquisitions, restructuring costs, the impact of changes driven by foreign exchange, and any litigation or environmental charges. Given current macroeconomic forecasts and continued strength in our end markets, we expect 2018 consolidated sales to be up between 3% and 5% over 2017 pro forma sales. We also expect adjusted EBITDA between $216 million and $222 million for the full-year with stronger results in the second half of the year compared to the first half primarily due to the timing of aftermarket sales and engine production schedules in Power Systems. It's important to note that we received $9.1 million of positive foreign exchange impact related to the EDF contract during the course of 2017. When we normalize for this item, the difference in average exchange rates in 2017 compared to the current rates and for several smaller items including the full-year effective Qualiseal and the CVC acquisitions, our guidance represents a 5% to 7% increase in adjusted EBITDA. Before I open the line for your questions, I just want to reiterate my excitement for all that we have accomplished over the past year, and the strong current state of our company. We continue to be focused on our goal of building a first-class company that delivers superior value to our shareholders. Now we’ll open the line for your questions.
Operator: [Operator Instructions] Your first question comes from Joe Mondillo from Sidoti & Company. Your line is open.
Joe Mondillo: I was wondering - my question that I was trying to ask I apologize for that - but the $214.5 million of adjusted EBITDA in 2017 and your pro forma that includes the adjusted foreign currency related contract with EDF is that correct?
Milton Childress: Yes, that’s correct. That’s our number as we report the adjusted EBITDA…
Joe Mondillo: And how much did you realize - how much income was realized in the fourth quarter relates to that?
Milton Childress: It was about 1.4 million in the fourth quarter.
Joe Mondillo: Also wanted to ask related to the Engineered Products segment, the incremental margins there were in the single digits brokerage, usually you talk about sort of 40% to 50%. Was there product mix issue or what was going on in the fourth quarter why you didn't sort of see the operating leverage that you have seen in the past?
Stephen Macadam: Yes. Overall Joe as you know it's a really good story in Engineered Products for the year for 2017 there’s significant margin improvement on a full year basis. The fourth quarter margin differential year-over-year is a little bit misleading for two reasons. One, in 2017 our incentive compensation expense was significantly higher than it was in 2016 and the trend as we've gone throughout the year in 2017, the incentive accruals have been increasing but long without performance. We had the opposite happening in 2016 where incentive accruals were declining. So that's one reason. Another reason in Engineered Products we had a fairly significant year-over-year increase in medical costs. And so that had an impact on margins in the fourth quarter as well. We did experience some pricing pressures in raw materials, and so there were other factors, but the incentive compensation and medical costs were drivers as well.
Joe Mondillo: And just looking at 2018, do we anticipate quarter on a percent of sales basis that incentive comps and health expenses sort of more normalized, so do you anticipate sort of the historical 40% to 50% incremental margin there at that segment?
Milton Childress: Yes we would, we would.
Stephen Macadam: Yes, when you strip those out we were in that neighborhood for Engineered in Q4.
Joe Mondillo: Just to go back to Power Systems, the EDF contract, how much revenue or how much of that contract is left to be recognized as revenue going forward, if it is still a big chunk?
Milton Childress: Yes give us a second Joe.
Joe Mondillo: I guess in addition to that also I would be interested to hear your thoughts on sort of - you mentioned that - just in terms of by quarters it’s going to be backend weighted at Power Systems but just on a revenue and margin outlook for the year relative to the backlog of engine deliveries, as well as sort of timing on aftermarket demand. How do you look at the segment overall for 2018 relative to revenue growth and then also on a margin perspective compared to 2017?
Stephen Macadam: Yes, let me give just a little bit of color and Milt then you can share those specific numbers. First of all Joe, we have shipped as of today six of the EDF engines and that goes up to-date. Four of those were out last year, two have been shipped out this year. And our plan this year is to ship an additional - 10 engines roughly now that may move around little bit. Now first of all as you know those were at zero margin since we have been historically in a loss position in that contract because of the rapid decline of the euro from when we set it. What the true-ups we see every quarter as a result of that engine are primarily due to currency. Obviously, we benefited a lot last year in Power Systems for the impact of that currency on the entire contract right. So by the end of 2018 we'll be through gosh, pretty much all but we will carry some of these engines going forward into 2019 probably about five more in 2019. Now that if the schedule doesn't change. The schedule could change but again it doesn’t - the only real impact on the bottom line for the segment is really depending more on what currency does versus more on how many engines we ship, okay. Now we've always talked to the public about for years we've been talking about this U.S. government earnings - our engine shipments we use to call it the Fairbanks cliff that was coming because we knew that in 2015, 2016 and 2017 we were going to be not producing many government engines just as a result of how the Navy's and Coast Guard shipbuilding program worked and over the last two years we've announced - really 18 months we've announced a significant wins with the military with the U.S. government. And so those we got a lot of programs going on now those programs have started with long lead time procurement items. We'll be building a number of those engines in the shop and so that work will continue to accelerate throughout the year. But keep in mind based on what I shared, Fairbanks' or Power Systems has to earn $9.1 million more of EBITDA if currency stays exactly the same just to make up for the benefit we got on the EDF front last year. We expect to do that actually. Fairbanks is going to have a really good year. It’s just hard to sort that out with all the currency impact within EDF but as long as currency doesn’t drop significantly, as long as the euro doesn’t drop significantly from 1.2 to the dollar, Fairbanks is going to have good year and that year will be improving as we go forward. Now to answer your specific question of how much - how far we are along on percentage of completion basis in that program, do you have that Milt?
Milton Childress: On revenue percentage it's roughly - we’ll go back - it's roughly about 40 remaining months. So out of 105 million roughly total contract about 40 million or 45 million of revenue remaining.
Joe Mondillo: So if we exclude the effects of currency in 2017, its looks like the operating margin were roughly around 11% and it sounds like the volume and the production work that you have going on for 2018. At least relative to engines, I don’t know if you were sort of combining aftermarket into your comments there or not?
Stephen Macadam: I was Joe.
Joe Mondillo: So it sounds like revenues definitely should be up relative to the 11% sort of op margin ex the foreign currency adjustment to EDFs that we saw in 2017. Do you think that should be sort of comparable in 2018 just given the amount of new work of higher profitability type stuff and that should offset the increase engine shipments for EDF or could that slightly be under where - that 11% adjusted 2017. How do you think about that?
Milton Childress: Yes, hold on one second Joe. Okay, doing some calculation just to give you some direction.
Stephen Macadam: While he is doing that Joe, - I mean the problem is not the problem - operationally what we've been challenged with is a big portion of what to shop, with the one facility one manufacturing facility that we've had in Fairbanks. A big challenge has been the team has really been working through the - initially the start-up of the first engines and for EDF. As we've shared in the past, we struggle a lot. It's a very demanding customer - the quality and tracking and part traceability requirements are even well beyond what the U.S. Navy requires. So it was a real challenge for us on the first two or three units. But since then during last year, we got a semi-automated welding spent $1 million for a semi-automated welding cell up there. We can now weld almost half of the welds on all the blocks and oil-pans for the EDF units. We de-bottlenecked the production line and we've solved all of the quality disputes and the design questions from EDF. And now we are doing something that we don't normally do at Fairbanks which is we're making a lot of the exact same engines – and it's flowing pretty well. So it's really hard to overestimate how much of the Fairbanks team, the engineering and operations team was focused on EDF last year to get us to where we are today. I'm hopeful that we're going to begin to see a lot of benefit from that streamlining combined with now a reasonable kind of returning to the norm if you will of much, much better margin government work.
Milton Childress: Yes, for all the reasons that Steve described - having profitable engines following through our facility and - all this is subject of course because our performance on the aftermarket side can swing our margins significantly. But we would expect for 2018 Joe for our margins to be north of that adjusted number that you calculated, excluding the EDF FX pickup from this year. I think I haven’t checked your number. I think you mentioned 11% excluding that, now I would think that we would be more in the kind of 13% to 14% range in 2018 still burned a bit. Of course by EDF revenue that's going through but a nice step up from where we were this past year.
Joe Mondillo: And relative to sort of - I guess what kind of visibility do you have in 2019 relative to the wins that you've made over the last 18 months? And just the schedule, I don't know how far out you can see with the U.S Navy’s relative to maintenance and aftermarket. Do you have any good feel and I didn’t know its two years now, but 2019 do you have any color there. Is it just too early and you need to see how orders and things progress throughout this year?
Stephen Macadam: On the engine side, we have a fair amount of color and the way to answer that would be, we'll see an increase for specific programs like OPC that we announced and the TAO program that we announced. So those programs start to flow into 2019 you start to pick up here in 2018 and definitely carryover into 2019. We have good visibility into 2019 and from where we sit, 2019 looks pretty good from here.
Operator: Your next question comes from Ian Zaffino from Oppenheimer. Your line is open.
Ian Zaffino: Question was just needs running OP 2.0 what sort of a cadence of this -- how do we expect – may the launch to occur when will shipments start? And then after the initial launch part when should we expect to see maybe customer number two, customer number three etcetera? So any type of cadence if you give us would be really helpful? Thanks.
Stephen Macadam: Yes, I think the best color to provide at this time is, we launched in December so we're roughly you know six weeks or so beyond our launch day. And we look at a few things internally to give us some perspective on whether we're getting traction or not. And the most significant thing that we look at is the sheer number of units quoted relative to our plan. And we're up relative to what we planned in Q1. We’re well past that number right now. Now the commercial operation dates for most of those projects were roughly 18 to 24 months out. So we'd have to back that up for a lead time and those kind of things, but that's the best color I could provide now. The initial indication is really positive in terms of customer interest and the number of projects that we've quoted, but with commercial operation dates at 18 to 24 months, we have to work that out based on hit rates and specific projects, it would be hard to forecast in detail right now.
Operator: Your next question will come from Jeff Hammond from KeyBanc. Your line is open.
Unidentified Analyst: This is [Brett] filling in for Jeff. Just on the capital allocation side you know which is tax reform kind of expect to maybe at the midpoint or at the back half of 2018. Does that change - any of the timing of when the pipeline could heat up or is that just unrelated?
Stephen Macadam: I think it's largely unrelated because our spending on growth initiatives, strategic acquisitions is going to be driven by opportunities that we see and us – having an ability to seize the moment and move forward when we find something that makes a lot of sense for us. So we're driven more by more by the specific opportunity than we are within the context of having a stronger balance sheet this year because of the combination of tax reform and the carryback related to ACRP. So I mentioned in my comments, it really doesn’t change how we think about capital deployment, but it will allow us to be a little bit more aggressive when we find those opportunities that makes sense.
Unidentified Analyst: And I mean it sounds like you're going to be discipline in M&A and the balance sheet in good shape and it looks like some moderation in growth investments in the year. So I guess my question is kind of, if we move throughout the year and nothing really intriguing pops up, does that suggest that you know maybe more activity in new buyback program that was recently authorized or dividends beyond what is currently baked in? I’m just trying to get a handle on where capital allocation could end up if nothing at least materializes in the year?
Milton Childress: We have said before that, our goal is to maintain net debt to EBITDA of 2 to 2.5 times on average throughout the year time. So if we find this year or next year or whatever that we are for an extended period of time are below that range, then yes, we have to consider our options. Of course, we could go through a period of being under levered based on that - range, if we're working on things. But if we find that we're in a sustained period of being well below that range than yeah, we are going to be considering stepping returns to shareholders in one form or another.
Unidentified Analyst: Then just on quickly on GST. Are there any legal or process overhanging or is that completely in the rear view, you mentioned at a conference recently that there were some things that were deterring kind of looking into bolt-on in that business, is that completely behind us now?
Stephen Macadam: I'm not sure I understood your question. I thought I heard two in there. The first is the asbestos issue is done there is no lingering litigation. There's no lingering liability. All of EnPro is protected by the deal not just Garlock. So we are free and clear of asbestos related issues. Now we do have - we negotiated a discount to the $80 million to pay it early. So we paid what I said $78.8 million. And so it's a modest discount, but even to do that we had to agree with the trust. This is not with the lawyers, this is with the trust, the trustees that the idea is if they earn that $1.2 million return on that incremental payment into the trust then we won't owe them anything. We could owe them - we're basically estimating that $600,000 in August, that's the only thing. So it's kind of a it's so small it doesn't really matter. But from that – going forward the only thing we'll do is, continue to benefit from insurance receivable collection over time. So as the trust starts paying out claims, so as people claim into the trust then we'll get an insurance recovery associated with that. Just the timing of it is – that the claims have to be paid by the trust before we get the insurance money. So that will continue - this year it's 14...
Milton Childress: 17 that we know will be collected this year. It could be more [Brett] but 17 is scheduled. And then in addition to that there's another $30 million that we believe we will collect overtime.
Stephen Macadam: A few years yes, as those claims are paid by the trust. That's the only thing and we're independent of the trust, the trustees managed by separate trustees, we're kind of thank goodness out of the asbestos liability games. So yeah that's 100% behind this. And again going forward all of our results will be - obviously will be the full company results.
Unidentified Analyst: I was just referring to more the M&A side of that where I think you said there was parts of legal process I required you to kind of divulge any M&A plans within GST and that kind of…
Stephen Macadam: Right, yes, I'm sorry, I did misunderstand. Look while we’ve been frozen in bankruptcy in the ACRP while GST has been frozen there, it was just way, way too problematic to try to buy an acquisition related to that part of our company simply because the other side - the court controls - it control the state at the time and that’s all done. So yes we got - in fact we’re looking at something small but we’re looking at something right now that we’ll be a nice little - again that’s small not enough to move the needle but it’s a great little premium product add-on that we think we’ll get done in the first half of the year for that part of Garlock yes. So it opens up a new if that’s your question it does open a new avenue for growth for GST.
Operator: Your next question comes from Justin Bergner from Gabelli and Company. Your line is open.
Justin Bergner: A couple of clarification questions here, on the EDFs contract which was called out as a 9 million tailwind to OP in 2017. If I add up the amounts called out in each of the quarterly press releases for EDF, I get to about 4.5 million not the 9 million. So I can follow-up offline but there is any clarity you can provide here?
Milton Childress: Yes, we can follow-up offline Justin but in a nutshell the difference is in the prior quarters we’ve communicated the impact on EDF in full which was a combination of currency related impact and changes to estimate cost to complete the contract. And so both of those things are always running through our P&L from quarter-to-quarter since, we’re on this kind of mark to on a full contract basis because we’re in a loss position. So every quarter we look at the estimated cost to complete the contract and we have this currency related adjustment as well. So in the past in the prior three quarters when we talked about the EDF impact on the quarter it's been in context of the combination of currency and changes to estimated cost to complete.
Justin Bergner: And then the income tax receivable that you have on your balance sheet at year end 2017 is pretty sizable, I guess it's about 123 million which transcends the 85 million from deferred tax asset, we look back recovery what else is in there just like and sort of understand what cash would look like without this insurance tax receivable?
Milton Childress: Well our income tax provision is very complicated this year and we had a lot of things going on. We had a big gain on the reconsolidation of GST. We've had tax reform to build in we can sit down with you and walk through those details. I think the easy way to do it is to look at our adjusted earnings per share that we show, that provide a ballpark and for 2017 we use - the tax rate and kind of normalized tax rate of 32.5%. And I had mentioned that going forward we’ll be using in that adjusted calculation about a 27% of return - I mean tax rate. So it's a - there's a lot of details, a lot of the gives and takes that went into the tax provision this year.
Justin Bergner: But the 123 million, now its going to be cash that’s coming in the door of due course of 2018?
Milton Childress: Repeat your question, I'm not sure I’m following you - what 123 million...
Justin Bergner: I might have misspoken one point, I guess the 123 million income tax receivable at year end 2017? I assume that consist of the 85 million plus an additional amount, I mean should we basically treat that as you know money that's going to increase the cash and cash equivalents by a 123 million when it’s all recovered?
Milton Childress: Let me just tell you that with tax reform the amount that we booked which would include the line item that you’re pointing out on our balance sheet are all provisional. They have been almost day-to-day explanations and refinements and changes that are coming down from the IRS which affect how we monetize the carryback, and how the total charge factors into it. So the short answer is, go by what I commented earlier on the call in my prepared remarks that for the carryback for the refund we expect about $85 million to come in this year. Now we are going to have additional benefit in the form of foreign tax credits which we will be able to monetize over a number of years. But if your focus is on the near term on the income tax receivable the $85 million as of today is a better number then what you see on the balance sheet.
Justin Bergner: And then try I assume that - there will be a repatriation liability of some magnitude that affects the 189 million of cash that's mainly overseas and I don't know if there are - undistributed foreign earnings on top of that that could be taxed at the 8.5% rate?
Milton Childress: The information that I provided when I've talked about our liquidity just comments on liquidity, earlier all of that was net of the total charge that we would otherwise have to pay. So no, I mean if you go back to my comments on - we ended the year with $185 million roughly or $189 million of cash getting - expect to get $85 million in form of tax refund. We’ll have the additional foreign tax credits to use in the future, all of that is kind of net-net. As we see it today the impact of both tax reform including the toll charge and the impact of the carryback related to the ACRP trust funding.
Stephen Macadam: So said in another way we could bring back some portion up to that foreign cash amount without paying any incremental to what Milt shared.
Justin Bergner: But the 60 million - is that 60 million is that net of expected repatriation taxes or is that gross?
Milton Childress: Yes it is, that was net.
Justin Bergner: And then lastly in the waterfall chart in the EBITDA guidance what is the other bar that's about 2 million positive for your 2018 EBITDA outlook?
Milton Childress: Give me a second see if I can figure it out.
Justin Bergner: It’s 1.8 million.
Milton Childress: Yes, we scrubbed it to really try to provide an apples-to-apples not just to point out the year-over-year difference in the EDF FX but to scrub it for other items. I think it picks up and - I don't have the details in front of me we can follow up with you. I think its things like LIFO, the impact of LIFO may have been one of them and that’s probably the most significant in the other bucket. We can follow-up with you.
Justin Bergner: Thanks for all the nitty-gritty questions?
Milton Childress: Yes, it's also by the way the full year effect of the acquisitions we made in 2017.
Operator: And your final question for today comes from Joe Mondillo from Sidoti & Company. Your line is open.
Joe Mondillo: Just a couple of follow-up questions. Just wanted to confirm the purchase accounting amortization related to the reconsolidation of GST, is that still trending at about $8.6 million annually. Is that what you annualize, is that you saw in the fourth quarter and is that what the 2018 time should be?
Milton Childress: That's about right.
Joe Mondillo: And then just looking at the Sealing segment, what would you say your typical incremental margin that you have realized in the past there. And then looking at 2018 it seems like and correct me if I'm wrong, that the heavy duty STEMCO is may be the one business that is potentially going to continue to show year-over-year improvements or at accelerated anyway just given sort of the new truck builds and trailer builds rate that have been going on. And then maybe then the acceleration in truck miles with aftermarket and such. Correct me if I'm wrong with that, but if that's the case, I always thought STEMCO was maybe a little lower margin. So relative to your historical incremental margins there, should we see maybe an unfavorable product mix potentially in 2018 just given the strength of STEMCO?
Stephen Macadam: If you look at overall margins, relative margins in the segment, Joe, STEMCO margins - yes, the bond of three businesses in the segment, the STEMCO margins are the lowest of the three overall. But it's not that much, it's relatively small difference shortly between Technetics and STEMCO our highest margin performer in sealing has been from quite some time. So I don't think that it's going to be noticeable enough that if we were to have more growth in STEMCO than the other businesses, it would be a significant factor on the margin side.
Milton Childress: Yes, I don't know if I'd even agree, Joe, with your overall assumption that that business within that segment is going to grow faster this year than the other two. I think they're all kind of patient about the same. Remember at STEMCO, most of what we like to sell, the aftermarket parts, the equipment that is on the road today is relatively new because of all the truck and trailer builds in the last few years. And so even if aftermarket miles go up, yes, it does have an effect, but it'll be better as the equipment ages down the road. So we don't see at least in our planning, we don't see STEMCO outpacing Garlock and Technetics in ceiling. We think they're all going to be relatively healthy. The only market that we sell to in that whole segment this week is industrial gas turbines. And while, I mean, the drop off last year was significant. So we don't think it will weaken further, but we certainly don't think it will strengthen. We think it will kind of stay about where it was last year. I mean, it's so weak it's hard to imagine it's going down any more. But we're taking some actions in that business to try to at least have it be more profitable than it was last year. But, yes, we're continuing to feel decent demand across the entire segment.
Joe Mondillo: And what would you say, I mean, is that segment, is that pretty much typical sort of 30%-ish kind of incremental margins?
Milton Childress: I think that's a good estimate, yes.
Joe Mondillo: And then just one last question regarding cash and you took on a little debt of finance, the negotiated roughly $80 million or so of the rest of the - expect this resolution. How are you looking at the debt and the cash that you're going to be receiving in 2018? Are you thinking about pairing that down at all since you increased that in the fourth quarter? If not, where do you see the interest expense? I'm just trying to think of like the interest expense and how you're thinking about use of cash.
Stephen Macadam: Yes, we have a lot of moving pieces coming out of cash as we've discussed. We're evaluating this permanent overseas investment and cash that we've had historically and now with tax reform, looking at the flexibility of using that cash. We have the refund that we're expecting. We have the ACRP insurance receivable collection that we've discussed. And in addition to the cash, we generate corporations and so, I mean, clearly, absent some large growth investment acquisition or otherwise as we generate cash, we'll be using it to pay down the outstanding borrowings we have on our revolver. At the end of the year, you can see on our balance sheet roughly what that was.
Joe Mondillo: So do you anticipate maybe the interest expenses a little higher than the fourth quarter early in the year and then maybe it falls down a little bit.
Stephen Macadam: Yes, absent growth investments. I mean, that kind - if we're not investing in M&A or other relatively large growth investments, we will see a reduction and our revolver balance which will translate into reduced interest payments on the revolver payment. Now keep in mind, we did the 150 million tackle on our senior notes last year, and we did start the year with 450 million of senior notes. So we will have the full year effect of that interest expense offset in your scenario or in the scenario I just painted, offset by lower interest expense on revolver borrowings. So I wouldn't, just how it nets out, I wouldn't be projecting a large decrease in interest expense this year. And keep in mind, a lot of the cash that we have coming in on the tax refund, it's not going to happen immediately. It's going to take some time for us to realize that, and also for us to do our final planning related to tax reform.
Joe Mondillo: I guess one thing that I'm just trying to clarify is that, you drew the revolver I think in December. So the interest expense in the fourth quarter relative to sort of the annual rate that you're sort of running at the end of the year, that interest expense should probably be higher than the fourth quarter considering that you drew that revolver in December. Is that correct?
Stephen Macadam: Yes, no question if you're zeroing in and isolating on the interest expense related to the revolver debt.
Operator: As there are no further questions, I'd turn the call back over to presenters for closing remarks.
Stephen Macadam: Thank you, Michelle, and thank you all for joining us this morning. If you have any additional questions, please give me a call at 704-731-1527. Have a good day.
Operator: Thank you, everyone. This will conclude today's conference call. You may now disconnect.